Operator: Good morning and thank you for standing by. [Operator Instructions] Today’s conference is being recorded. If you have any objections, you may disconnect at this time. It is now my pleasure to turn the call over to Mr. Whit Kincaid. Sir, you may begin.
Whit Kincaid: Good morning, everyone. Thank you for joining us for Mueller Water Products second quarter conference call. Yesterday afternoon, we issued our press release reporting results of operations for the quarter ended March 31, 2025. A copy of the press release is available on our website, muellerwaterproducts.com. I am joined this morning by Martie Zakas, our Chief Executive Officer; Paul McAndrew, our President and Chief Operating Officer; and Melissa Rasmussen, our Chief Financial Officer. Following our prepared remarks, we will address questions related to the information covered on the call. [Operator Instructions] This morning’s call is being recorded and webcast live on the Internet. We have also posted slides on our website to accompany today’s discussion. They also address forward-looking statements and our non-GAAP disclosure requirements. At this time, please refer to Slide 2. This slide identifies non-GAAP financial measures referenced in our press release, on our slides and on this call. It discloses the reasons why we believe that these measures provide useful information to investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our website. Slide 3 addresses forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter, unless specified otherwise, refer to our fiscal year, which ends the September 30. A replay of this morning’s call will be available for 30 days at 1-800-568-3652. The archived webcast and corresponding slides will be available for at least 90 days on the Investor Relations section of our website. I’ll now turn the call over to Martie.
Martie Zakas: Thanks, Whit. Good morning, everyone. Thank you for joining our second quarter earnings call. I will start with a brief overview of our performance and then turn it over to Paul. We delivered performance this quarter, where we achieved second quarter records for consolidated net sales, adjusted EBITDA and adjusted net income per share. Healthy order levels and resilient end market demand supported net sales growth of 3.1%. We exceeded our strong results from the prior year quarter, which included benefits from elevated backlogs for service brass and natural gas distribution products. This quarter, we were pleased to see a sequential increase in net sales of repair products, thanks to everyone’s efforts over the past year. Our focus on delivering exceptional customer service, improving operational excellence and maintaining cost discipline enabled us to increase both our gross margin and adjusted EBITDA margin compared with our first quarter. Our teams are diligently working through the challenging external environment as we maintain our focus on providing outstanding customer service, while closely managing our supply chain. We expect that the recently enacted tariffs increased costs for many of our products to varying degrees. We are taking appropriate steps to mitigate the higher costs through pricing actions, supply chain mitigation plans operational initiatives and cost discipline. We are pleased to be increasing our annual guidance range for 2025 net sales and are maintaining our adjusted EBITDA guidance range due to the higher costs associated with the recently enacted tariffs. Before Paul provides details regarding tariffs and our work to mitigate the impacts for Mueller and our customers, I want to express my continued confidence in ability to adapt and overcome external challenges. Mueller has been a leading supplier of infrastructure products and solutions for more than 165 years. Approximately 92% of our net sales are in the U.S., and we are largely vertically integrated for our major product categories like iron gate valves, hydrants and brass products. We estimate that 60% to 65% of our net sales are used for the repair and replacement of municipal water infrastructure. We have leading brands, a large installed base and a comprehensive distribution network which gives us a strong foundation. While we are operating in a significantly more volatile external environment teams that have been tested with many challenges before and after the pandemic. With that, I’ll turn it over to Paul.
Paul McAndrew: Thanks, Martie. Good morning, everyone. I was pleased with our second quarter performance. This quarter, we saw a strong sequential increase in order activity across most product lines, reflecting our customer experience investments. Also, our improved execution enabled us to benefit from healthy order levels, which were supported by continued resilient end market demand, while phasing increased external challenges, we delivered sequential improvements in margins, supported by our focus on improving operational excellence, increasing supply chain efficiencies and developing advanced manufacturing capabilities to drive productivity. Over the past few years, we have invested in our supply chain and operational teams to enhance our team’s skills and resources. Our team has continued to work diligently through the rapidly changing tariff situation. Our manufacturing facilities and vendors are mainly in the U.S., and we are largely vertically integrated for our major product categories. Our core products, including iron gate valves, hydrants and brass products are primarily supported by 5 manufacturing facilities in the U.S., including 2 iron foundries and the new brass foundry. In addition, we had a facility in Israel for most of our repair products and 1 in China for some of our specialty valve products. Therefore, China and Israel account for a substantial portion of our supply chain exposure. From a cost of sales perspective, approximately 15% of our total cost of sales is exposed to newly enacted tariffs. We estimate that the annualized impact of the recently enacted tariffs is approximately 8% to 9% of our cost of sales, with the China-related tariffs accounting for approximately 75% of our analyzed tariff exposure. This estimate excludes any benefits from our price mitigation actions. To the magnitude of the enacted tariffs, we have recently implemented targeted pricing actions for specialty valves and repair products. We expect to see a lag between the higher tariffs and the associated price actions. While we anticipate tariffs will start to phase in later during the third quarter, we don’t expect to see the benefits from the higher pricing until the fourth quarter. Given the uncertainty associated with tariffs and on broader inflation and end market demand, we will closely monitor the situation and take additional price actions as needed. In addition to implementing targeted pricing actions, our teams are taking steps to mitigate the tariffs through supply chain and operational initiatives, including shift in sourcing geographies, implementing supplier cost sharing and driving productivity at our facilities. Over the past few years, we have worked to expand our international sourcing options outside of China, included within our specialty valve manufacturing facility in Kimball, Tennessee. Given our recent investments and experience with a post-pandemic inflationary cycle, I am confident in our team’s capabilities as we continue to strengthen our presence in the market. We remain vigilant and are monitoring our channeling customers closely to evaluate impacts on order patterns to remain nimble and adjust quickly as patents evolve. With that, I’ll turn it over to Melissa, so she can take you through the financials.
Melissa Rasmussen: Thanks, Paul, and good morning, everyone. Before reviewing the financials, I want to express my gratitude to the Mueller team for their warm welcome. I am thrilled to be part of such an iconic company, which plays a vital role in our critical water and natural gas infrastructures throughout North America. I am quickly getting up to speed and have had the opportunity to see some of our facilities and interact with many team members across the organization. I look forward to continuing this collaboration as well as working with the investment community. Now turning to the second quarter. Consolidated net sales increased 3.1% to $364.3 million, surpassing the strong second quarter net sales delivered last year. The growth was primarily due to the higher pricing and increased volumes across most of the product lines. We saw growth in net sales at both segments. In the second quarter, gross profit of $128 million decreased 1.8% compared with the prior year. And gross margin of 35.1% decreased 180 basis points year-over-year. Though benefits from the increased volumes were notable, they were more than offset by manufacturing inefficiencies most of which were expected as a result of the brass foundry transition. Excluding asset write-downs of $800,000 associated with the legacy brass foundry, our gross margin was 35.4%. We remain excited about the efficiencies we are gaining as the new brass foundry ramps up, and we continue to expect margin benefits in the second half from the legacy brass foundry closure. For the quarter, total SG&A expenses of $55.7 million were $8 million lower than the prior year. This reduction was primarily driven by lower amortization expense, favorable foreign currency fluctuation and diligent expense management of third-party fees and personnel-related costs, partially offset by inflationary pressures. Operating income increased 10.1% in the quarter to $69.9 million compared with the prior year. Operating income includes $2.4 million of strategic reorganization and other charges primarily related to the leadership transition and fixed asset impairment as well as other asset write-downs, which have been excluded from adjusted results. Turning now to our consolidated non-GAAP results for the quarter. Adjusted operating income in the second quarter was $73.1 million, an increase of 0.6% compared to the prior year. This improvement was primarily due to lower SG&A expenses, including lower amortization and increased volumes, which were partially offset by manufacturing inefficiencies. Our adjusted operating margin improved 120 basis points to 20.1% compared to the prior year. Adjusted EBITDA came in at $84.5 million, an increase of 2.8% versus the prior year quarter, which was a record second quarter adjusted EBITDA. We achieved an adjusted EBITDA margin of 23.2% in the quarter, which was 230 basis points higher on a sequential basis and down 10 basis points from the prior year. For the last 12 months, adjusted EBITDA was $305.7 million or 22.3% of net sales, a 320 basis point improvement compared with the prior 12-month period. Net interest expense in the second quarter declined $1.3 million year-over-year to $2.3 million, primarily due to higher interest income. For the quarter, we increased adjusted net income per diluted share by 13.3% to $0.34 per share compared with the prior year, setting a new second quarter record. Moving on to quarterly segment performance, starting with WFS, net sales increased 5.1% to $216.2 million compared with the prior year, primarily due to increased volumes of iron gate and specialty valves and higher pricing across most product lines. While we experienced lower volumes of service brass products due to the timing of backlog normalization and customer and channel destocking, we remain optimistic about future volume growth. As a reminder, our prior year shipments benefited from serving an elevated backlog, which was down more than 50% compared with the prior year. Adjusted operating income increased 6.3% to $55.9 million in the quarter. The benefits from increased volumes and lower SG&A expenses including lower amortization, more than offset manufacturing inefficiencies primarily associated with the lower volumes of service brass products. We are excited about the transition to our new brass foundry and the efficiencies it will bring, especially as volumes normalize. Adjusted EBITDA decreased 0.3% to $62.2 million and adjusted EBITDA margin was 28.8% compared with 30.3% in the prior year. I’ll now move on to quarterly results for WMS. Net sales increased 0.3% to $148.1 million compared with the prior year. The growth was primarily driven by increased volumes of repair products and higher pricing across most product lines. We saw lower volumes of natural gas distribution products due to similar factors as service brass products at WFS. Adjusted operating income increased 8.3% to $31.4 million in the quarter. The benefits from lower SG&A expenses, including lower amortization and favorable price cost more than offset lower volumes in manufacturing inefficiencies. Adjusted EBITDA in the quarter increased 2% to $36.4 million with adjusted EBITDA margin improving 40 basis points to 24.6%. Moving on to cash flow. Net cash provided by activities for the 6-month period was $68.4 million, an increase of $6.2 million compared with the period. The increase was primarily driven by higher net income, partially offset by changes in capital, including decreases in other current liabilities, such as incentive compensation. Through the first 6 months of the year, we invested $21.1 million in capital expenditures compared with $15.8 million in the prior year. This increase was primarily driven by investments in our foundries. Our free cash flow for the first half of the year was $47.3 million, which was $900,000 higher than the prior year period and was 51% of adjusted net income, which is in line with expectations. At the end of the quarter, our total debt outstanding was $451 million and we had cash and cash equivalents of $329 million. We continue to have a strong and flexible balance sheet with a net debt leverage ratio below 1. No debt maturities until June 2029 and a 4% fixed interest rate on the $450 million senior notes. We did not have any borrowings under our ABL at quarter end, nor did we borrow any amounts under our ABL during the quarter. We ended the quarter with $492 million of liquidity, including $163 million of excess availability under the ABL. Now turning to our outlook for 2025. We updated our fiscal 2025 and are increasing our guidance for consolidated net sales by $15 million at the midpoint of the range, which is between $1.39 billion and $1.4 billion. This increase reflects our order performance expected from new price actions being implemented to help mitigate tariff impacts and current expectations for end market demand. We are maintaining our adjusted EBITDA range between $310 million and $315 million. This guidance reflects our second quarter performance and expected benefits from higher net sales and lower total SG&A expenses, which are offset by the increased costs related to the newly enacted tariffs. For clarity, our guidance reflects the anticipated cost from the recently enacted tariffs as of May 5. We continue to expect benefits to the second half margins from the closure of our legacy brass foundry. At the midpoint of our guidance range, this adjusted EBITDA range achieved a 22.4% margin for the year, reflecting a 70 basis point year-over-year improvement. We are maintaining our free cash flow expectations to be more than 80% of adjusted net income in 2025. This outlook continues to assume our capital expenditures are between $45 million and $50 million for the year as we continue investing in our future growth, operational efficiencies and domestic facilities. With that, I will turn it back to Martie for closing comments.
Martie Zakas: Thanks, Melissa. I want to provide you closing comments before opening it up for Q&A. We and others continue to believe municipalities will prioritize upgrading and expanding the aging North American water infrastructure to be more resilient and efficient for future generations. The American Society of Civil Engineers most recent assessment of America’s infrastructure maintained a C grade for drinking water in the U.S. and a deep fleet for wastewater in the U.S. With a broad products and solutions, Muller is uniquely positioned to capture the benefits from the investments needed to address the aging North American water infrastructure. The external environment is rapidly changing and leading to increased for our customers, channel partners and vendors. Over the past few years, we have made significant personnel and capital investments to strengthen our supply chain and operational capabilities and enhance our domestic manufacturing presence. I am confident in our team’s ability to adapt and maintain our focus on delivering the critical products and solutions valued by our customers. Our teams will continue to focus on executing our key strategic priorities and serving our customers to drive continued net sales growth and future margin improvements, which are supported by our purpose-driven organization. We have a strong financial foundation with very low net debt leverage and a flexible balance sheet, which continues to provide ample capacity to support our strategic priorities, including capital investments and acquisitions as well as returning cash to shareholders. That concludes our comments. Operator, please open the line for questions.
Operator: [Operator Instructions] Deane Dray with RBC Capital Markets, you may go ahead.
Deane Dray: Thank you. Good morning and welcome to Melissa.
Melissa Rasmussen: Good morning Deane.
Deane Dray: Hey. Just a couple of clarifications, please. And first of all, Slide 5 is really helpful. Lots of detail there, and I appreciate how you broke it out for China and Israel. So, that squares a lot of the perspectives that we were looking or specifics that we were looking for. So, thank you for that. And could you clarify on was there any pre-buy? I mean you talked about in the slides some channel destocking. I was thinking you might have had it flip where distributors were adding some product to avoid some of the tariff promotion. But if you could just clarify, if you did see any pre-buy.
Paul McAndrew: Hey. Good morning Deane, this is Paul. That’s something we analyzed closely. And we know there is a number of drivers in the second quarter. It’s typically one of our strongest orders quarter as we move into the construction season alongside our price increase. So, nothing has stood out to us yet from any kind of pre-buy perspective, but it’s something we are analyzing closely.
Deane Dray: Great. I appreciate that. And then can you just give us a sense of the new foundry. Is it fully operational? Are all the products certified? Any other kind of milestones, and just the impairment that was taken, was that related to the old foundry, and can you size that, please?
Paul McAndrew: Yes, I will take the first half of that, and I will pass the impairment over to Melissa. So, in terms of the new foundry, it’s fully operational. The old South foundry is no longer producing any product. We have all products transferred to the new foundry that we want to transfer at this point. We will obviously continue to validate that as new products become online. In terms of the impairment, Melissa?
Melissa Rasmussen: Yes, in terms of the impairment, we took an impairment charge during the quarter of $800,000, and that was related to the legacy foundry. As we continue to decommission the foundry, we will incur other costs and write-downs. However, we don’t have an estimate of what that overall amount will be at this point and we will continue to update you all as that information unfolds.
Deane Dray: Appreciate it. Thank you.
Operator: Thank you. Our next caller is Brian Lee with Goldman Sachs.
Nick Giovanni: Hi everyone. This is actually Nick Giovanni for Brian Lee. How are you guys [ph] doing today?
Martie Zakas: Hey. Good morning Nick.
Nick Giovanni: I just had a quick question on, I guess now your CapEx. Given that now the new foundry is up and running, I think CapEx guide is relatively similar to what it was last year, but we kind of saw a decrease or a step down in 2Q. I guess what is going to be requiring further CapEx commitments for the reminder of the year, now to the new foundries online? And I guess why should or shouldn’t we be expecting a step down in the back half of the year?
Paul McAndrew: Hey. Good morning. This is Paul. Most of the capital for the new foundry had already been spent in the prior years. We are a vertically integrated company with foundries. So, the anticipated CapEx spend is the main driver there in terms of ensuring that we are keeping those core iron foundries running efficiently. Obviously, we have operational improvement projects as well. So, we anticipate our capital remaining at that 3% to 4% of sales range.
Nick Giovanni: Awesome. No, that’s helpful. If I could just follow-up with one more on end market demand. I mean as you know, there are all these puts and takes within our new tariffs and which seem to be changing day-by-day. Have you heard anything from customers either not looking – or looking to put projects on hold or push them out as they try to get a better understanding of what total cost could be for a project, or just any other commentary that you guys have heard from the customer level would be great. Thank you.
Martie Zakas: Yes. No, certainly, thanks. So, as we take our views and looking out really to the second half of our year, I think as we have said, we have seen a strong start to the year. And I think that’s reflected in net sales performance, but as well with what we described with our order activity and certainly the order activity looking through April. We are moving now into the portion of our fiscal year, whereas the construction season commences. We typically see greater activity. And I think certainly, as we look out to our third quarter, we do expect to continue to see resiliency with the municipal market, which we think will continue through the year. I think where we probably see more had baked in some uncertainty levels is really in and around the residential construction market. Specifically as we look out to our fourth quarter, I would say, that’s where we see there could be some greater uncertainty with respect to the end markets largely due to some of the overall uncertainty and inflation concerns in the marketplace.
Nick Giovanni: Awesome. Thank you. I will pass it on.
Operator: [Operator Instructions] Mike Halloran with Baird. You may go ahead sir.
Unidentified Analyst: Hey, good morning everybody. This is Paz on for Mike.
Martie Zakas: Good morning.
Unidentified Analyst: So, I believe previously, we were thinking about pricing in the range of low-single to mid-single digits. Kind of given the updated tariff discussion and given the raised sales guide and held EBITDA, are we implying the expectation to offset tariffs one for one on a dollar basis? Is that a fair way to think about it?
Martie Zakas: So, let me jump in on price, and I am going to sort of break it into two different buckets. I think first of all, as we referenced on our first quarter call, we did announce price increases on most – across most of our products. And that was sort of the typical timing that we expect in and around that. And at that time, those price increases did not reflect any expectation in and around tariffs. With what we have most recently announced, it is focused largely on our specialty valve and repair products that are most impacted by the recent tariff announcement. And with that, we have announced the double-digit targeted price increases for those product lines. With the price increases that have been implemented, we expect it just to mitigate some of our expected higher costs with the tariffs, not to fully cover the expected impact of the tariffs. I think as Paul has outlined in his – in our prepared remarks, we have a number of other mitigation actions that are underway to help offset the expected impact of the most recently announced tariffs. I think the other area that I want to highlight for you as we expect the tariff impact to hit our results, that is most likely to hit later in our third quarter. We do not expect to get any of the benefit of the most recently announced price increases until our fourth quarter, and that’s just due to the expected lag.
Unidentified Analyst: Got it. Martie, that’s color is – sorry, Paul, go ahead.
Paul McAndrew: Yes, so just to add on to that. Obviously, the supply chain activities have started well before tariffs, the team that we put in place and the resources. So, we are already on that journey of becoming less exposed to products coming out of China, which will help me to give these tariffs going forward.
Unidentified Analyst: Thank you. That’s super helpful. Obviously, balance sheet is in a great shape, and Mueller is starting to position itself more an offense. Maybe you can talk a little bit about how the pipeline formation is coming. I know that we are more focused on product expansion. Maybe talk a little bit about how some of those early pipeline formations are going and what the state of the funnel looks like today, actionability and whether those conversations have changed in light of all the tariffs?
Martie Zakas: Yes. So, I think overall, just addressing capital deployment. And certainly, as we have expressed, we look to have a very balanced approach which is the investment from a capital expenditure perspective as well as returning cash to stockholders, both through dividends and share repurchase. But I think importantly, acquisitions, as we said, do remain an important priority for us to enhance our growth. I would say, overall, with our large capital investments behind us that we are more active today, and we are looking to find the acquisitions that we think will best allow us to expand our product portfolio, leverage the distribution, leverage our customer relationships and/or enhance our manufacturing capabilities. I think certainly, the challenge that we have certainly does focus in and around the actionability of items, and we also always intent on where the valuation is to ensure that we get an appropriate return for our shareholders. So, I would say, yes, overall with where we are, we do remain more active in terms of what we are looking for in the marketplace.
Unidentified Analyst: Great. Thanks. And I will pass it on.
Operator: Thank you. Our next caller is Walter Liptak with Seaport Research. You may go ahead sir.
Walter Liptak: Hi. Thanks. Good morning everyone. Hey. I wanted to ask sort of, I guess a follow-up or more detail about just the pricing going up. And it sounds like double-digit price increases. It sounds like they are happening now. Does that cause any of the municipal customers or other kind of interest larger projects that have to go through a redo on pricing and potentially causing delays, like, how do they absorb that without any sort of delays?
Paul McAndrew: Alright, Walt, this is Paul. I think as we spoke about, we have been targeted on our price increases for specialty valves and repair products. Repair products are typically very fast turned products. So, that’s not really going to be baked into a project. And most of the specialty valve projects – products, sorry, that we are talking about here would not be impacted the municipality from a project perspective. So, we don’t anticipate any concerns there.
Walter Liptak: Okay. Thanks for pointing that out. I appreciate that. You talked about the lag to, or it sounds like there might be a lag effect from the third quarter price increases and then the catch-up into the fourth quarter, is that right? I wonder if you could just help me understand that a little bit better.
Martie Zakas: Yes. Just to help you understand. So, the reason that we have an expectation that the most recently enacted targeted price increases in and around specialty and repair will have a lag is largely due to the backlog levels. Specialty valve, just as Paul just talked through, tends to be more customized projects and/or valves. And therefore, given the backlog levels, we really not – we don’t expect to see any benefit from those most recent price increases until later in our fiscal year. Additionally, just as a reminder with respect to repair products, given the challenges associated with the Israel-Hamas war, we do have higher backlog levels for the repair products than we typically see. As Paul said, that’s generally a short-cycle product. We have been working to lower the backlog levels. But given the backlog levels where we currently are, that’s why we don’t anticipate seeing the benefits of the most recently announced price increase until our fourth quarter.
Walter Liptak: Okay. Great. And maybe just a last one, I wonder if you could help us with gross margin in the coming quarter? Like what kind of assumption do you have in – for the next quarter gross margin?
Melissa Rasmussen: Sure. As we think about gross margin in the coming quarter and actually for the back half of the year, we are expecting that we will see improvements in gross margin as the year progresses. We had anticipated that we would have a challenged gross margin in the second quarter as we were running the two foundries and the new foundry continues to ramp. We will expect to see those improvements throughout the back half of the year, as well as the improvement in the repair side of our business, now that we are lapping the Israel-Hamas headwind that we encountered last year in second quarter, we are expecting in the back half of the year about implied 37% gross margin range for the back half of the year at the midpoint of our updated guidance. And we will continue to expect, as Martie said, to have a lag related to the benefit of the pricing, that will show in fourth quarter and the tariffs will start to impact third quarter. So, third quarter will look a little more challenged than the fourth quarter well.
Walter Liptak: Okay. Thanks very much. Appreciate it.
Operator: Thank you. Joe Giordano with TD Cowen. You may ahead sir.
Unidentified Analyst: Good morning. This is Michael on for Joe.
Martie Zakas: Good morning.
Unidentified Analyst: As you mentioned – good morning. Just segment margins in the quarter were positive progression year-over-year, though probably came in a little bit lighter than most for modeling. But then the consolidated performance came out ahead due to the lower corporate costs. So, can you just elaborate any puts and takes when it comes to margin in the segments? And then how should we be thinking about corporate expense on a go forward? Thank you.
Martie Zakas: Sure. For gross margin in the second quarter, we had expected to see a little bit of a dip in the second quarter. And while we did have some favorable volumes and price-cost benefits, we did, however, have manufacturing inefficiencies as we had talked about with the running of the two foundries. Now, that we have moved past the legacy foundry, we should be past the one-time manufacturing inefficiencies that we experienced in the prior quarter related to that foundry. We will expect to see that the improvements in the back half of the year that we have talked about previously as that new foundry continues to ramp. And again, we expect that we will see an implied guidance range of 37% in the back half of the year versus the 34.5% that we saw in the beginning of the year. And as far as overall SG&A, we had expected that we would see a benefit related to the prior year as the amortization from the customer relationship intangible had fully been amortized. With that, we did continue to see, in addition to that benefit, we saw some favorable foreign currency exchange in addition to some diligent expense management. So, overall, we had reduced our SG&A expense expectation for the year by $4 million at the midpoint. We do expect to see a step-up in the back half of the year, which is typical for our seasonality. And we are also investing in some decisions that we had made as far as IT investments and commercial investments as well as some personnel investments in the back half of the year. So, you will see a step up versus the first half of the year.
Unidentified Analyst: Great. Thanks. And just one more, if I may, earlier, you mentioned about two-thirds of the business is tied to muni water infrastructure. Can you just elaborate how much of that is actually tied to new lot development versus just repair and replacement business? And then are there any like mixed considerations that you would like to highlight to expect over time? Thank you.
Martie Zakas: And let me just clarify. When we give the end market estimates for our business, the roughly, we will call it, two-thirds that we call repair and replace. That is all looking at existing municipalities where there already is the built-out infrastructure. And generally, that’s where you would be seeing any of the maintenance or the upgrades over time. When we look at what we call the residential construction piece, that is where the new lot development and/or new construction comes into play. So, think of that as when you have got the raw land, you historically have not had the water distribution systems and due to the development of the new communities we – they are putting in the underground infrastructure associated with it. Does that address your question?
Unidentified Analyst: Yes. I am sorry if I might have missed this earlier in the call. Do you mind just maybe breaking out on a percentage basis or just generalize percentage, what is exposures of those two things you just mentioned. I don’t think it was necessarily clear. Thank you.
Martie Zakas: Certainly. So, when we estimate for 2024 overall, where we stood, we estimate that roughly about 60% to 65% of our revenue was associated with what we call repair and replacement, which really is in and around the municipal business. And when we think about the residential construction component of our business, that probably falls right around, we will call it, sort of 20%, 25%. And then we also have an end market exposure, which is in and around the natural gas distribution products, which runs a little less than 10%.
Unidentified Analyst: Great. Thank you.
Operator: Thank you. At this time, I am showing no further questions.
Martie Zakas: Very good. Well, look, thank you, operator. We thank everyone for taking the time to join our call today. We certainly welcome Melissa to the team and are delighted to have her here. Overall, we think we delivered a very solid performance with some new records in our second quarter. The healthy order levels and resilient end market demand, I think specifically in and around municipal support the guidance that we gave, where we did increase our expectations for our 2025 net sales, maintaining our adjusted EBITDA guidance range, and that really is largely due to the higher costs from the recently enacted tariffs. I think with respect to the tariff environment that we are all addressing and certainly the uncertainty that, that brings. I think with the enhanced investments in enhanced operational and supply chain team talent that we have and actions we are taking with respect to pricing, supply chain mitigation, operational initiatives and cost discipline, we are putting ourselves in the best position that we can to address that. So, thank you very much and we look forward to speaking with you again when our third quarter results are announced in August. And with that, please conclude the call. Thank you, operator.
Operator: Thank you. This concludes today’s conference call. Have a nice day. You may now disconnect.